Operator: Ladies and gentlemen, thank you for standing by, and welcome to the U.S. Physical Therapy 2016 Select Preliminary Operating and Financial Results Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Mr. Chris Reading, President and Chief Executive Officer. Please go ahead, sir.
Christopher Reading: All right, thanks Paula. Good morning everyone and welcome to U.S. Physical Therapy’s Fourth Quarter and year end 2016 earnings update. Joining me today, Larry McAfee, our Executive Vice President and Chief Financial Officer; Glenn McDowell, our Chief Operating Officer; Rick Binstein, Vice President and General Counsel, Jon Bates, Vice President and Controller. Before we begin today's discussion, let’s start with a brief disclosure. Jon, if you would please?
Jon Bates: Thanks Chris. This presentation contains forward-looking statements, which involve certain risks and uncertainties. And these forward-looking statements are based on the company’s current views and assumptions and the company’s actual results can vary materially from those anticipated. Please see the company’s filings with the Securities and Exchange Commission for more information.
Christopher Reading: Thank you, Jon. So today’s call is going to cover some rather normal detail regarding our finish of 2016 and a limited discussion about how we are doing out of the gate 2017. Following the discussion review of our performance, Larry will discuss the accounting correction detail that we included in our press release earlier this morning. Let’s start with the review of 2016. First of all, I think notably 2016 was one of our best development years ever. We had the most de-novo openings in the past ten years, 28 to be exact; we also closed a few great acquisitions totaling another 20 locations. Those de-novo openings were for the most part centered within our top 20 partnerships, so we expect them to do well as we continue forward. To continue on the development theme, we started the year off with a very strong start with a nice acquisition and additional de-novo openings which on a combined basis had added18 net clinics plus 8 more managed facilities. To recap the discussion on development, we have a number of good things that we are working on currently. The environment has the right to continue to see good deal flow and we have recently purchased a new tool that has been specifically customized for us which has already made it easier for me to identify and connect with future potential acquisition partners and it will also help to further identify good potential referral sources. Moving on, for the year net revenues increased 7.6% due to an increase in total patient visits of 7.7%. Same-store visits for the year increased 2.2% and we finished the final quarter of the year with same-store volume of 2.5%. Operating income increased 4.7% to $49.5 million, gross margin increased 4.7% and corporate costs dropped to 9.1% of revenues for the 2016 period. In the fourth quarter revenues increased 4.8% and this was compared – this was worth one less work day compared to Q4, 2015. Clinic operating cost as a percent of revenue increased somewhat to 79.3% of net revenue, nearly $5 million of this increase which was majority was attributable to operating cost of newly opened or acquired facilities in the year. And part of that increase also came from a couple of months of higher than normal medical claims resulting from the few very high claims in the November-December period. The other contributing factor to some of the cost growth was due to our decision to combine the operations of two acquired partnerships, the combination subsequent re-branding one of those partnerships resulted in a non-cash write-off relating to the trade name no longer to be used. The reason for this combination we believe will fall off with the non-cash charge and to the net rate in the insurance contracts of the partnership that we consolidated into notably higher, much better rates and contracts compared to the other partnership. Finally, I’d like to point out the company’s cash flow continuous to be very solid despite a record de-novo operating in 2016 and some good deals completed in key markets which are already producing growth. We ended the year with $20 million in cash, and with a credit line borrowing total of $46 million compared with $44 million at year end December 2015. Additionally, air days remain low at 36 days. So in summary before I hand it off to Larry, I want to say that our company, cash flow of visits, our deal flow and our operating income potential all remain in very good shape and we expect to work hard to continue forward as we have consistently done in the past to further grow and scale our company. Larry, if you go ahead and review any additional financial results and then continue forward.
Lawrance McAfee: Thank you, I hear them all. I’ll just jump into the accounting issue. As we announced in the release that we’ve going to have to do an accounting correction as it relates to how we treat with the innumerable non-controlling interest, and I think the press releases on pages four and five goes into in a lot of detail, but I think people need to know the kind of the business background behind it. We’ve been doing acquisitions for 12 years, I think we’ve done what Read, 25, 26 – 25, 26 deals and we always said when we do acquisitions we want to structure micro de-novo deals where the founders keep a significant equity stake, so they stay motivated to grow the business. And we want operating partners meaning clinicians that are practicing treating patients talk to doctor’s etcetera. Typically we have a deal with them that for three to five years they gain fell their equity interest. There is no put, but after that under certain circumstances we’ll buy and portions of all of their interest especially if they leave the business. Our deal was okay, we don’t want past of shareholders so if you leave the practice we’re going to buy in your LP or [Indiscernible] interest. Well as we looked at it, and the accounts looked at it, what they realized was well, in fact as everybody is obviously going to see this employment whether they retire or incapacitated or die, that makes it a mandatory redemption feature which means that it needed to be treatment differently on the balance sheet of the income statement than the way we had. It’s not subsequently that we ever tried to hire anybody, we can tell people for years how we structure stuff, it was reviewed internally and externally and it was just a myth that we are working with our accounts now to make the correction we asked for an extension of a couple of weeks that follow our financials and we’ll make every effort to do it in that time period. I want to stress this air the best acquired partnerships only does affect any of our de-novo facilities and it doesn’t and the resulting restatement will be accomplished through non-cash items. It has no impact of previously reported cash balances or net cash flow or EBITDA and it in no way changes the real world of economics of our business. Now we mentioned in there -- in the press release that this causes us to be under technical default under the credit agreement. I talked to senior personnel yesterday at our Bank, Bank of America and they couldn’t have been more supportive. And so we – I fully expected that in short order we’ll get the necessary waivers and that’s in place. They recognize as do we, that there’s really is not an economic issue, it’s an accounting issue.
Christopher Reading: So, Larry, appreciate that review. Agree with all of that. And so I think people are going to have questions. So let's operator, let's open it up for any questions that anyone might have.
Operator: The floor is now open for you questions. [Operator Instructions]. Your first question comes from Larry Solow of CJS Securities. One moment please. We’ll take the next question. Your next question comes from Brian Tanquilut of Jefferies.
Christopher Reading: Hey, Brain.
Brian Roth: Hey, guys. This is Brian Roth on for Brian Tanquilut. On the same-store revenue, I know it looks like – it’s an relatively flat over the past two quarters. So I guess my question is, looking into 2017 what are your expectations around same-store revenue growth and any color you can give on the breakout between visits and revenue per visit, it will be helpful?
Lawrance McAfee: Yes. So, we've been telling people for the last year and half, maybe two years that on the net rate basis we felt like we were in a relatively flat net rate environment actually for this year. We – and it’s not a lot but it's a little. We’re seeing most of our markets based upon the geographic index factor, our Medicare reimbursements up slightly. We’re seeing relatively steady rates everywhere else. And of course we’re making adjustments like that adjustment we made in the combined partnership. They could vantage of better rates on occasion cross partnerships. So I expect rate again to be relatively flat. We have been missing a key team member on our fit-to-work team. He's back. We’re focused on you regaining traction in that area which should hopefully beneficially affect their mix. And then we’re always focused on growing volume, and so we got to do that and expect we will, but that's kind of the environment right now.
Brian Roth: Okay. Thanks. And then, yes, in the quarter you called out the higher than expected operating cost to do some opening of facilities, and the higher than expected claims, but is there anything else driving that increase in the in the salaries align year-over-year?
Lawrance McAfee: One of the thing is we almost always see this with acquisition is that their operating costs are higher than our typical de novo facilities. So, the more acquisitions we do normally the more pressure there is on the gross margin percentage. Obviously it’s contributing additional gross margin dollars and that thus normally we can affect over a period of time, not immediately, but over several years. The other thing is too when you do start, as many startups we do have – did last year. They’re going to run at loss per period of time and then they’ll get to the breakeven, nine months or whatever, but during that period obviously their cost as a percentage of revenue are going to be higher than a mature plan.
Brian Roth: Got it. That makes sense. And then just last one. It may some pretty live sessions over the past few months here. I guess, what’s your outlook on that front for the 2017 and are you seeing any notable changes in the competitive environment or multiples for those acquisitions?
Christopher Reading: So this is what it feels like right now. I recently did just a few weeks ago one of the big brokers in the space, asked me to do an interview that even pushed out to a bunch of private practice groups. We’re seeing a very active market right now. We’re talking to some great people. We expect to get some very good things done this year. And I think I would say right now and it's very slight and it’s very subtle. I think we've seen the peak probably on pricing in general, that doesn't mean that there were sometimes be a deal that gets particular activity for particular reason that causes to be priced a little higher, but I think we’re beginning to come down that other side. I think some of the groups that have been very active over the last few years. I've had some digestion issues, meaning that they've got to now integrate what they've gone. And so the things from the competition part in some fronts have slowed down may be a little bit. Again, I wouldn't say it's dramatic. But we've been very active and we continue to talk to great people and we’ll get some good things done this year for sure.
Brian Roth: Okay. Thanks guys.
Operator: Okay. We’ll move now to Larry Solow of CJS Securities.
Christopher Reading: Hello.
Larry Solow: Hey, Good morning guys. Just key answer of the question, so the operating expense sounds like you said most of these on the acquired properties and in our clinics and hopefully this history is that indication that you guys will take some cost out of those properties going forward? How much just the outlook for same-store sales growth? Its look like it was sort of a little light at the back half for the year a little bit lighter than it has been. Is that crazy about slight – any thoughts on that? What do you think going forward was sort of in its comfort zone 3%-ish plus or minus?
Lawrance McAfee: I don’t know that’s a comfort zone. I think we'd like to do better than that. The last quarter 2.5%, nobody has beaten just over that. We’re a little bit slow actually in a couple months in the summer, and I don't know that I can tell you why other than that's when our doctor’s take vacation of the things. I will tell you that -- and this won’t really begin to have any effect until the second quarter and forward, because we’re just now to the point where we’re beginning to roll it out, but I'll be going to use it as we develop the new tool which I’m not going to talk a lot about, but it really helps our partners to understand the market, to understand the referral opportunities in the market that helped me already in identifying practices in a certain size and bandwidth uses analytics and some of the things, and I’m hopeful that the tool will help us continue to mine out some opportunities that we may have missed before. So, I don’t know that have a prediction on exactly where we’ll settle, but we’re not satisfied with where we are and we’re throwing some more resources at it just very recently.
Larry Solow: Got it. How it just really catch out the marketing environment? Is it sort of relatively stable?
Lawrance McAfee: Yes. I think they’re pretty benign market right now. I think there is some appointments good. You look at the market, the sentiment is high. There's been some wage growth and I think people have discretionary income back. There’s may be a little overhang and what happens to the ACA and what might change, but I think that's kind of a little bit further off. I don't think that's can happen in near term. So, reimbursement as I said this is kind of steady right now. So, I think it's a pretty -- I would characterize it as a benign market.
Larry Solow: Okay. And just to clarify on the accounting restatements. If I heard correctly, so you plan to file by the [end of month] and your next action for you K and that K will include all the restatements?
Christopher Reading: Well, that’s what we’re shooting it.
Larry Solow: Okay.
Christopher Reading: There’s quite a bit work, but yes, plan has to -- we have audit substantially done and that’s one item. So we’ll have to go back as it will change in prior periods we’ll have to make sure we can do it in one document, we might have to file some restatements of other filings as well, but that’s what we’re shooting for.
Larry Solow: Okay, great. Thanks.
Operator: Your next question comes from Mitra Ramgopal of Sidoti.
Mitra Ramgopal: Yes. Hi. Good morning. First just a couple of questions on the acquisition front regarding and the de novos, is the focus is going to be more on the consolidating existing more cash or you also looking in terms of new geographies?
Christopher Reading: No. We’re looking at both. So, on existing markets we’re looking at density and where we can further grow from the relationships that we currently have, but we’re definitely looking at some new markets as well. It's a big country and now we’re in 42 states. There’s a lot of opportunity still out there and available, and there are some good companies are out there and available on and we’re talking to a number of them, but we’re looking at both. On the de novo front, it's entirely in existing markets though. So acquisitions we’re looking at some new markets. De novo is entirely within I would say a Top 20 to 30 partnerships which make up the bulk of our high earners and those who were all the de novos are going to come from.
Mitra Ramgopal: Thanks. And when we look at the last acquisition you pick up I think about eight facilities in terms of managing. Would that be part of the strategy going forward also in terms of looking at the potential deals where you can also in addition to the clinics add third-party management capabilities?
Christopher Reading: Yes and no. I would say it's not part of the strategy, I mean, it happens and for instance the start deal that we did in 2007. They had some managed entities at the time that wasn't the reason we were attracted to the deal, but we’re certainly a part of the deal that's grown over the period. Deal that we did in January had some managed entities, again not the central focus of the deal but part of the deal. Managed contracts they could great. Star had theirs for – we’ve Star now for 10 years and that has been stable over the time and its grown, sometimes the more short-term. But we’ll continue to focus on finding the right people and good deals. I think they have management opportunities. We won't shy away from that as long as we can do them and have them be structured in a way that is fully compliant and make sense for us, and provide some opportunity and some margin, but it’s not a central focus necessarily.
Mitra Ramgopal: Okay. Thanks. Again I know it's early, but as we look at potential healthcare reform overhaul, any initial thoughts in terms of do you see this as a positive or just neutral right now?
Christopher Reading: I think it’s going to take the current Congress up a little time to come to an agreement that’s going to pass both the House and Senate and get enacted. And I think the chances of doing that in one piece of legislation and this just my opinion it could be totally wrong. But in one legislative endeavors is not as likely as if they break into pieces, so I don't I don't expect personally see anything it in the really near-term, although, I do think they’re pretty focused on it. I think it all comes down to how many people are going to end up being insured and that was the issue before. I think we saw the insured population grow pretty nicely. Certain people lost insurance because it didn't meet the mandate and they had to pick up new insurance but there was certainly in that game. I think the hope is right now that there isn't a net loss, it's possible I think there could be further gains, but I’ve seen less about than just kind of managing what we have and making a little bit better. So honestly it’s not something we can focus on. We have to execute regardless and that we’re focused on doing right now or watch seeing and I guess and watch how its plays out.
Mitra Ramgopal: That’s great. Thanks. And Larry I just wondering if you had the peer mix handy?
Lawrance McAfee: Yes. I got it. This is of the fourth quarter. 52.7% was from your traditional insurance, 15.2% worker's comp, 25.2% Medicare and Medicaid, almost all of that’s Medicare, and 6.8% other.
Mitra Ramgopal: Okay. Thanks again for taking the questions.
Operator: Your next question comes from Dana Hambly of Stephens.
Dana Hambly: Thanks. Good morning. Just following up Larry on the worker’s comp, that’s being going down pretty steadily? Is that an effect of the acquisitions not having as much worker's comp or is there something structurally going on with the existing practices or you’re shying away from that business?
Lawrance McAfee: Nobody is shying away from it. None of the recent acquisitions have significant worker’s comp to it. Now as Chris mentioned, one of our key people on the worker’s comp site’s been out for actually a year and he’s back now.
Dana Hambly: Okay.
Lawrance McAfee: We still remain focus on it. There’s plenty of opportunities.
Dana Hambly: Got it. Okay.
Christopher Reading: Yes, I would say Dana a few of the deals not all of them but a few of the deals we’ve done recently have been more comp like, not by design by our design but it’s just been their [paramix] and so that they swing us around a little bit but we are acutely focused continue to be on growing comp.
Dana Hambly: Okay, all right that’s helpful. And then just and I know you’ve not given EPS for the quarter, but just kind of backing into all the details that you did give, even excluding the kind of two unusual charges we had you coming in a little bit shy of where your guidance was previously for the year. Was there anything else that caught you by surprise in the quarter be it productivity or you mentioned wage inflation, I don’t know if that was really material?
Christopher Reading: No, as to guidance well I can’t speak to that, but we didn’t come up sure.
Dana Hambly: Okay.
Christopher Reading: Yes, because we get them just close to certain non-items but there is some our tax rate was lower in some other things, so we did not miss the guidance right.
Dana Hambly: Okay. All right. And then lastly from me Chris you mentioned on kind of new development, I know as you become a bigger company in order to keep the growth going you need to do more, so just what kind of resources do you need to make sure that you are getting the right acquisition targets you mentioned a new tool that you have, I’m just curious if you need to add more people resources or just to make sure that, that wedding process doesn’t deteriorate as you try to get bigger.
Christopher Reading: Actually and I could say this with complete confidence, I’ve had more discussions, we’ve had more discussions and more contacts in the recent periods than we have in some time, so it definitely helps. We’ve identified some additional resources and moved another individual internally who has been our highest and most productive recruiter and she’s helping me further identify new companies and we’ll continue to add people as we need to do what you say, to make sure that we have a good deal flow, we’ve got good traction right now. And so, as we look forward and as we think we need to adjust we won’t be shy about adding people. We’ve added other people in other parts of the company and we’ll do that.
Lawrance McAfee: Hey, [Dan] I want to make one clarification on the guidance range, that’s using the accounting treatment we have before, not the new accounting treatment. The new accounting treatment changes way that some of that’s reported but based on the old accounting treatment we would have made the guidance range.
Dana Hambly: Fair enough. Thanks for the clarification.
Christopher Reading: Thanks Dan.
Operator: [Operator Instructions] At this time, we have no further questions. I will now turn the floor back over to management for any additional or closing remarks.
Christopher Reading: Okay, well listen. Thank you everybody. Appreciate your questions, and we appreciate your time and attention today. If you have any follow up questions, give us a call and thank you for your continued interest and support. Have a great day.
Operator: Thank you for your participation in today’s conference. This does conclude today’s call. You may now disconnect.